Operator: Good morning, ladies and gentlemen, and welcome to the Generac Holdings Third Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will have a question-and-answer session and instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to turn the call over to your host for today's conference, Mr. Mike Harris, the Vice President, Finance. Sir, you may begin.
Michael W. Harris - Generac Holdings, Inc.: Good morning and welcome to our third quarter 2016 earnings call. I'd like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, our President and Chief Executive Officer; and York Ragen, our Chief Financial Officer. We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation as well as other information provided from time to time by Generac or its employees may contain forward-looking statements and involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or our SEC filings for a list of words or expressions that identify such statements and the associated risk factors. In addition, we will make reference to certain non-GAAP measures during today's call. Additional information regarding these measures, including reconciliation to comparable U.S. GAAP measures, is available in our earnings release and SEC filings. I will now turn the call over to Aaron.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Thanks, Mike. Good morning, everyone, and thank you for joining us today. Third quarter results exceeded our expectations in terms of net sales, adjusted EBITDA and adjusted EPS. Shipments of home standby generators were better than expected as they benefited from successful promotional programs. And portable generator sales were also higher than expected as a result of an increase in power outage activity during the third quarter. Importantly, power outages have moderately increased so far during the second half of the year relative to our previous assumptions. And we expect this to further benefit our business during the fourth quarter. The higher shipments of residential products during the third quarter helped to offset a weaker than expected performance of mobile products within domestic and international markets. During the third quarter, we also generated a strong level of operating and free cash flow, which enabled us to remain active with our share repurchase program. In fact, despite the headwinds experienced across several of our end markets, we have generated approximately $210 million of free cash flow over the last four quarters, which was a key factor in allowing us to complete our share repurchase program nearly a year ahead of schedule. On a year-over-year basis, net sales in the third quarter increased 4% to $373 million as compared to $359 million in the prior year, which includes a one-month benefit from the Country Home Products acquisition and a full three-month contribution from the Pramac acquisition. Although exceeding our expectations for the quarter, shipments of home standby generators declined modestly over the prior year as field inventory levels entering the current year third quarter were elevated when compared to last year and demand in the Northeast region remained soft on a year-over-year basis. Regarding power outages, since reporting second quarter results in early August, power outage activity has increased relative to the low levels experienced over the past several quarters. This has been primarily driven by a more active Atlantic hurricane season relative to recent years but also the result of a pickup in localized outage activity during the third quarter. Earlier this month, Hurricane Matthew impacted the Southeast region of the U.S. And although not making landfall anywhere along the Florida Coast, it still resulted in a large number of customers without power. While the duration of outages from Matthew wasn't to the magnitude of a major event, it did result in a large increase in portable demand. In addition, we believe Matthew should help to serve as an important awareness event and demand catalyst for home standby generators in the months ahead. As the company focused very heavily on backup power generation, our business model is built around providing a very high level of service and support during outages. I'm very proud of our teams at Generac as they stepped up their efforts by shipping product to the affected regions, assisting thousands of customers with their questions and providing technical support to our distribution partners. In addition, we're working on various activities to allow us to execute on the anticipated increase in demand for home standby generators in the Southeast, including ramping up our targeted marketing efforts and supporting our dealer base in that region as they focus on the resulting sales leads. As we have previously discussed, we remain focused on a number of strategic initiatives to increase the awareness, availability and affordability for home standby generators, including specific projects and activities targeted towards generating more sales leads, improving close rates and reducing the total overall cost of these products. The improved power outage activity experienced thus far during the second half of 2016 should provide us a good opportunity to better leverage the innovative sales and marketing programs for home standby generators that we have implemented over the last several years. In addition, we believe we have enhanced our market position for our residential backup power products during the downturn as retail placement is currently at all-time highs and the number of active residential dealers has returned back to the peak levels experienced at the end of 2013. Looking at our Country Home Products acquisition, we continue to be encouraged by the overall performance of this business, including solid growth in sales and earnings and improved adjusted EBITDA margins compared to the prior year on a pro forma year-to-date basis. As we commented last quarter, the main drivers of the improvement are CHP's introduction of new value-oriented price points on several flagship models. The CHP acquisition annualized during the third quarter. And looking back over the last year, we've executed on a number of identified synergies and continued to pursue additional initiatives to capitalize on the combined strengths of the two companies. One area of our business that remains particularly challenging, however, is our domestic mobile product offering primarily serving the rental markets. While average energy prices have continued to improve over the past several months from the trough levels seen in mid-February, they remain below levels required for a meaningful recovery in oil and gas related capital equipment spending. As a result, this has had a significant impact on third quarter mobile product shipments to our broad base of rental customers in comparison to the prior year as they wait for a sustainable recovery in fleet utilization, rental rates and used equipment values. As discussed in recent quarters, we've taken a number of restructuring and cost reduction actions and continue to pursue other expense adjustments to better align our current cost structure with customer demand for mobile products. Now let me provide a few comments regarding the trends for our International segment. Recall that included in these results is the former Tower Light business which we acquired in August of 2013. Demand for mobile equipment in the market served by Tower Light continued to be soft during the third quarter and were below our expectations, primarily driven by the deferral of capital spending by several larger rental customers across the United Kingdom and other parts of Europe. In addition, the weakness within the UK market is being magnified by the devaluation of the British pound against a basket of foreign currencies, which is further negatively impacting both sales and gross margins. As a result, we remain cautious regarding our views on rental fleet spending particularly in the UK markets. The International segment also includes the results from the Latin American region which experienced a modest year-over-year decline in sales during the third quarter. Although demand has been soft over the last several years in this area of the world as a result of volatile local currencies, lower energy prices and reduced infrastructure spending, the rate of decline continues to slow providing further support that end market demand may be stabilizing. Completing our discussion of the International segment is an update on the Pramac acquisition which closed on March 1 of this year. Similar to our recent CHP acquisition, we continue to be encouraged by the overall financial performance of Pramac which has also shown solid growth in sales and earnings and improved adjusted EBITDA margins compared to the prior year on a pro forma year-to-date basis. The integration of the Pramac business remains an important focus for 2016. And we have made good progress in evaluating and pursuing a variety of revenue and cost synergies. The acquisition of Pramac greatly expands our geographic footprint and revenue base, essentially doubling our international sales mix outside the U.S. and Canada and elevating us to a major player in the global power generation market. And lastly, as announced this morning, our board of directors has approved a new share repurchase program which authorizes the company to purchase up to an additional $250 million in common stock over the next two years. Given our ongoing strong free cash flow generation, we believe share repurchases represent an attractive use of capital at these valuation levels. Having an additional share buyback program in place will give us continued flexibility to deploy capital in the most beneficial way on behalf of our shareholders. I'd now like to turn the call over to York to discuss third quarter results in more detail. York.
York A. Ragen - Generac Holdings, Inc.: Thanks, Aaron. Net sales for the quarter were $373.1 million as compared to $359.3 million in the third quarter of 2015, including $60.8 million of contribution from the recent acquisitions of Country Home Products and Pramac. As a reminder, The Country Home Products acquisition closed on August 1, 2015. So results for the third quarter of 2016 include one month of contribution before becoming annualized and the Pramac acquisition closed on March 1, 2016. Looking at consolidated net sales by product class. Residential product sales during the third quarter of 2016, which are predominantly sold through the Domestic segment, increased 4.3% to $192.9 million as compared to $185 million the prior year quarter. The increase was primarily due to the contribution from the recent acquisitions of Country Home Products and Pramac partially offset by a decline in shipments of home standby generators. As Aaron mentioned, the year-over-year decline in home standby generators was modest. And shipments during the quarter came in ahead of our expectations benefiting from increased power outage activity coupled with successful promotional programs. The organic decline in home standby generators as compared to the prior year was impacted by excess field inventory levels entering the third quarter as well as ongoing headwinds in activation rates in the Northeast region. As we enter the fourth quarter, we believe field inventory levels for home standby generators are now better balanced when comparing to the prior year levels. Looking at our commercial and industrial products, net sales for the third quarter of 2016 increased 1% to $149.7 million as compared to $148.2 million for the prior year period in 2015. The increase was due to the contribution from the recent Pramac acquisition, which was mostly offset by a significant reduction in shipments of mobile products, given continued softness in the domestic oil and gas market as well as declines within the European region primarily driven by a deferral in capital spending by key rental equipment customers. Net sales for the other products category were $30.6 million in the third quarter of 2016 as compared to the $26.1 million in the prior year. The increase was primarily driven by the addition of after-market parts sales from the recent Country Home Products and Pramac acquisition. Gross profit margin for the third quarter of 2016 was 36.9% compared to 36.3% in the prior year quarter. The increase in gross margins was driven by a variety of factors including the ongoing favorable impact of lower commodity costs and overseas sourcing benefits from a stronger U.S. dollar coupled with a favorable overall organic product mix primarily due to higher sales of home standby generators. These improvements were partially offset by the addition of Pramac sales as well as the lower margins for mobile products. Operating expenses for the quarter increased $19 million or 30.4% as compared to the third quarter of 2015. This increase was primarily driven by the addition of recurring operating expenses associated with the Country Home Products and Pramac acquisitions. Recall these acquisitions both carry a higher level of operating expense infrastructure. In CHP's case, it's to support its direct-to-consumer business model. And in Pramac's case, it's due to its global commercial presence selling into over 150 countries. An increase in amortization of intangibles of $3.2 million also contributed to the year-over-year increase, which includes a $1 million write-off related to a tradename as the result of a new product transition. Lastly, the higher operating expenses in the third quarter of 2016 are also due to increased promotional activities which helped drive higher than expected home standby shipments during the quarter. Adjusted EBITDA attributable to the company as defined in our earnings release was $72.1 million in the third quarter of 2016 as compared to $81.2 million in the same period last year. Adjusted EBITDA margin before deducting for non-controlling interest was 19.5% in the quarter as compared to 22.6% in the prior year. The decline in adjusted EBITDA margin was solely driven by the acquisitions of CHP and Pramac as organic EBITDA margins were consistent with prior year. I will now briefly discuss financial results for our two reporting segments. Domestic segment sales were $299.1 million as compared to $332.2 million in the prior year quarter. The vast majority of the decline was due to the ongoing significant declines in shipments of mobile products into oil and gas and general rental markets. In addition, as we've discussed, shipments of home standby generators declined modestly over the prior year, but it exceeded expectations. Partially offsetting these reductions was the contribution from the Country Home Products acquisition which annualized on August 1. Adjusted EBITDA for the segment was $69.3 million or 23.2% of net sales as compared to $77.1 million in the prior year, also 23.2% of net sales. Adjusted EBITDA margin in the current year benefited from overall favorable product mix as well as lower commodity costs and overseas sourcing benefits from a stronger U.S. dollar. This was offset by increased promotional activities and reduced overall leverage of fixed operating expenses. International segment sales primarily consisting of C&I products increased to $74 million as compared to $27.1 million in the prior-year quarter. The increase is primarily due to the contribution from the Pramac acquisition, partially offset by declines in organic shipments of mobile products into the European region. Adjusted EBITDA for the segment before deducting for non-controlling interest declined to $3.5 million or 4.8% of net sales as compared to $4.1 million or 15% of net sales in the prior year. The decline in International adjusted EBITDA margin as compared to the prior year was primarily due to the addition of recurring operating expenses associated with the Pramac acquisition, unfavorable product and geographic sales mix, foreign currency impacts and reduced operating leverage on lower organic sales volumes. Now, switching back to our financial performance for the third quarter of 2016 on a consolidated basis. GAAP net income attributable to the company for the quarter was $26.2 million as compared to $34 million for the third quarter of 2015. Included in the prior year other (expense) income section is a $2.4 million loss on changing contractual interest rate as a result of an increase in our term loan interest rate spread of 25 basis points for an anticipated period of four quarters. Included in the current year other (expense) income section is an additional $3 million loss on a changing contractual interest rate as a result of a continuation of the 25-basis-point spread increase for an anticipated period of five additional quarters. GAAP income taxes during the third quarter of 2016 were $15.5 million or a 37.5% tax rate as compared to $19.2 million or a 36.1% tax rate for the prior year. The increase in GAAP tax rate is due to a non-recurring discrete tax item impacting the current year quarter. Adjusted net income attributable to the company, as defined in our earnings release, was $53.2 million in the current year quarter versus $63.4 million in the prior year. Diluted net income per share attributable to the company on a GAAP basis was $0.40 in the third quarter of 2016 compared to $0.49 in the prior year. Adjusted diluted net income per share attributable to the company, as reconciled in our earnings release, was $0.82 for the current year quarter compared to $0.92 in the prior year. With regards to cash income taxes, the third quarter of 2016 includes the impact of a cash income tax expense of $2.3 million as compared to $0.5 million in the prior year quarter. The prior year reflected a cash tax rate of only 1% for the quarter due to a year-to-date true-up adjustment to revise cash taxes downward based on the latest projections at that time. The current year cash taxes reflect a cash tax rate of approximately 6%. As a reminder, our favorable tax shield for annual intangible amortization in our tax return results in our expected cash income tax rate being significantly lower than our currently projected GAAP income tax rate of approximately 36% for 2016. As we drive profitability over time, cash income taxes can be estimated by applying a projected longer-term GAAP income tax rate of 36% on pre-tax profits going forward and then deducting the approximately $50 million of annual cash tax savings from the tax shield each year through 2021. Cash flow from operations was $48.3 million as compared to $35.3 million in the prior year quarter. Free cash flow, as defined in the accompanying reconciliation schedules, was $41.4 million as compared to $29.4 million in the third quarter of 2015. The improved cash flow versus prior year is primarily driven by a reduction in working capital investment during the current year quarter as compared to the larger investment in the prior year. This improved use of cash for working capital was partially offset by an overall decline in operating earnings. As of September 30, 2016, we had a total of $1.09 billion of outstanding debt, net of unamortized original issue discount and deferred financing costs and $54.2 million of consolidated cash and cash equivalents on hand, resulting in consolidated net debt of $1.03 billion. Our consolidated net debt to LTM adjusted EBITDA leverage ratio at the end of the third quarter was 3.9 times on an as-reported basis. Additionally, at the end of the quarter, there was approximately $145 million available on our ABL revolving credit facility. The company repurchased 1.8 million shares of its common stock during the quarter for $65.4 million, which completes the total authorized amount under the share repurchase program which was announced in August of 2015. Under the program, a total of 6 million shares of common stock were repurchased for $200 million or approximately $33 per share. With that, I'd now like to turn the call back over to Aaron to provide additional comments on our updated outlook for 2016.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Thanks, York. We are revising upward our prior guidance for revenue growth for the full year 2016, which is primarily due to an increased outlook for portable and home standby generators as a result of the higher power outage activity being experienced during the second half of 2016 as previously discussed. Net sales are now expected to increase between 9% to 10% over the prior year, which is an improvement from the 6% to 8% growth previously expected. Total organic sales on a constant currency basis are now anticipated to be down between 8% to 9%, which is an improvement from the previous assumption of down between 10% and 13%. Looking at our guidance by product class on a consolidated basis. For residential products, we now expect net sales to increase in the low to mid teens range during 2016, which assumes an organic increase in sales in the flat to low single-digit range. This compares to the previous expectations for net sales to increase in the mid to high single-digit range and organic sales to decline in the low to mid single-digit range. As discussed, the increase in organic net sales for residential products is primarily due to a large increase in demand for portable generators in response to Hurricane Matthew along with an improved outlook for home standby generators benefiting from the more favorable outage activity thus far during the second half of 2016, along with the success of our promotional programs. With regards to our commercial and industrial products, we now expect net sales to increase in the low single-digit range, a slight reduction from the previous expectation of a low to mid single-digit increase due to the lower shipments of mobile products. Organic net sales for C&I are now expected to decline in the low to mid 20% range, which is a slight decline from the previous guidance of low 20% range. Our expectations for gross margins, operating expenses as a percentage of sales and adjusted EBITDA margins remain the same as prior guidance. As a reminder, gross margins are expected to improve approximately 100 basis points to 125 basis points over the prior year when excluding the $6.1 million of non-recurring expenses recorded during the first half. Operating expenses, as a percentage of net sales excluding amortization of intangibles and the $4.4 million non-recurring restructuring charge reported in the first quarter, are still expected to increase approximately 225 basis points to 250 basis points. Adjusted EBITDA margins before deducting for non-controlling interest are still expected to be approximately 19.5% for the full year 2016. Importantly, recall that we have a majority ownership position in Pramac and there is a minority non-controlling interest with this acquisition that must be deducted when forecasting adjusted EBITDA, adjusted net income and adjusted EPS for the full year 2016 similar to the presentation reflected in the reconciliation schedules included with our earnings release today. Operating and free cash flow are still expected to increase significantly over the prior year, benefiting from the strong conversion of adjusted net income. As a result of our upward guidance revision for sales and adjusted EBITDA dollars for 2016, we now expect to generate approximately $200 million of free cash flow for the full year. Regarding the outlook for our reporting segments, we expect net sales during 2016 for the Domestic segment to decline approximately 2.5% from the prior year base sales of $1.2 billion with adjusted EBITDA margins expected to be approximately 22.4%. For the International segment, net sales are expected to increase to approximately $275 million primarily as a result of the Pramac acquisition with adjusted EBITDA margins of approximately 7% before deducting for the non-controlling interest. Lastly, regarding our outlook commentary, we're providing an updated summary of some guidance details to help model the company's earnings per share and cash flows for full year 2016. As a result of the increase in earnings outlook specifically for the fourth quarter 2016, the cash tax rate for the fourth quarter is anticipated to be approximately 11%, which results in cash taxes for the full year 2016 to be approximately $13 million to $13.5 million and the full-year tax rate of approximately 8.5%. We now expect interest expense to be in the range of $45 million to $45.5 million. The forecast for interest expense includes $41 million to $41.5 million of cash outflow for debt service costs plus approximately $4 million for deferred financing costs and original issue discount amortization for our credit facility. Depreciation expense is still expected to be between $21 million and $21.5 million. GAAP intangible amortization expense is now expected to be between $33.5 million and $34 million. Stock compensation expense is still expected to be approximately $10 million to $10.5 million and capital expenditures for the year are now expected to be approximately $32 million. In closing this morning, the moderate improvement in power outage activity experienced during the second half of 2016 should serve as an important reminder of the need for backup power and act as a catalyst for increased demand for our residential products. In addition, we'll continue to make strategic investments in new products, technologies and infrastructure across the business to support the next leg of growth that we believe will occur as more of our end markets improve. We remain optimistic regarding the long-term secular growth opportunities that exist for several areas of our business. And we intend to leverage our strong liquidity position as we evaluate our priority uses of capital to increase shareholder value. This concludes our prepared remarks. And at this time, we'd like to open up the call for questions. Operator.
Operator: Thank you. Our first question is from Jeff Hammond with KeyBanc Capital Markets. Your line is open.
Jeffrey Hammond - KeyBanc Capital Markets, Inc.: Hey, good morning, guys.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Good morning, Jeff.
York A. Ragen - Generac Holdings, Inc.: Good morning, Jeff.
Jeffrey Hammond - KeyBanc Capital Markets, Inc.: Hey. So good color on the additional power outage activity. Can you just talk about, Aaron, maybe what you think are the one or two biggest things that you've changed in your approach or tools that are going to favorably impact kind of the reaction from these outages and maybe some of the early feedback you've gotten from those initiatives?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Sure, Jeff. I think for us, one of the interesting things is a lot of the tools that we put in the hands of distribution and frankly in our own hands are relatively new since the last kind of increase in outages occurred back in the kind of 2011-2012 type of period. So as an example, our PowerPlay iPad-based selling solution which is a – it's basically a sales system which has given us tremendous visibility into the markets and has really helped us understand the performance dealer to dealer, market to market, and what's going on in terms of close rates, in terms of activity, in terms of quoting, all things that we never really had visibility to before, the differences in installation costs, all those additional pieces of information have been great for us to kind of really focus on tightening up. I think one of the unknowns for us is really how does that lead system is which is really what it is, how does that perform in a period of increased outage activity. So one of the things that is very evident to us is this area of the country where the most recent outages took place, so kind of the eastern coast of Florida all the way up through the Carolinas, is an area that hasn't had a lot of outage activity in a number of years, and no, we're not going back just to 2011-2012. Really Florida, 10 years; the Carolinas, a little bit longer in some parts. So that's an area where you might argue that distribution has been a bit atrophied just in terms of engagement. And we actually have quite a few dealers in the affected area, over 400 dealers in that area. But in terms of alignment and in terms of just some of the program elements that we've offered over the years, we see probably a little bit lower engagement level in those areas because of the muted power outage environment. So as we ramp up, what we have to be mindful of is that we're going to need to help these dealers kind of walk before they run. They need to take some of these solutions like PowerPlay and we're going to have to do some additional training. We're going to have to get in the market and help them accelerate their use of some of these tools because they haven't been as advanced using them as maybe, say, some of the areas of the country like the Midwest or the Northeast. So that's kind of my commentary and that early returns from these markets have been as you would expect. With portable generators, very good, initially. We've got great distribution from a retail footprint standpoint in that area of the country. That's an area that hasn't atrophied. As we mentioned on our prepared remarks, kind of at all-time highs in terms of our retail placement. And we really saw that play out with the ability to deliver a lot of portable generators in that region of the country. And that's a key underpinning in why we raised our guidance for Q4. Alongside of that, as we've said, we do think these tools that we've got are going to lead to an increase in the home standby activity. And as evidenced, some of the leading indicators that we'll watch would be things like our in-home consultations. And we've seen in-home consultations, in particular, of that region have really picked up nicely as we would expect. And so we expect as we get in and start training and we've got a team that we've deployed from the factory here that will actually hit the ground next week in the Carolinas and in Florida to actually expand on the use of these tools; we expect that in-home consultations should increase even more. One last thing I'll add to that, Jeff, and I know it's a longwinded answer, but I think there's a lot of things going on here. Our targeted marketing efforts, we've got some pretty good views on what's going on market to market and where these outages happened. And so we're now in the final stages of completing our media plan to go after those markets in a very large way to target those regions to really fill the top of the funnel with leads. So a lot of activity going on as you would expect. We want to make sure we can capitalize on the increased awareness around the product categories. And we expect that that will play out here over the next several quarters.
Jeffrey Hammond - KeyBanc Capital Markets, Inc.: Okay. And then just a quick – that's helpful. Just a quick follow-on on – so you took your revenue guidance up, you left the margins unchanged. Can you just speak to – I thought there'd maybe a little bit more leverage there. Maybe speak to what might be holding that back.
York A. Ragen - Generac Holdings, Inc.: Yeah, Jeff, this is York. So we have a longwinded answer for this one as well. So as you'd imagine, so we raised our residential guidance, brought down our mobile products guidance down a little bit. Overall, though that would generally imply a more favorable overall sales mix with that higher residential sales. You'd also get favorable overall SG&A leverage on those higher residential sales. But partly dampening that is just the fact that bringing our mobile guidance down a bit, we're also – not only top line but also the margin. So we're just seeing relative to previous expectation that those mobile product margins down overall. We did talk about promotional activities and whatnot here in the third quarter. So that – when you factor that into the full-year guide, that is something that's sort of offsetting some of those favorable impacts. And then just the fourth quarter with the updated guidance. You're going to have some additional employee incentive comp accrual. So when you put that all together, that allows us to hold the 19.5% EBITDA guidance for the year.
Jeffrey Hammond - KeyBanc Capital Markets, Inc.: Okay. Thanks, guys.
Operator: Our next question is from Mike Halloran with Baird. Your line is open.
Michael Halloran - Robert W. Baird: Hey. Good morning, guys.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Good morning, Mike.
York A. Ragen - Generac Holdings, Inc.: Good morning, Mike.
Michael Halloran - Robert W. Baird: So just on the C&I piece, any signs of stability at the bottom there for some of those affected markets?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah. I think domestically, Mike, we're starting to obviously – we'll get around the horn here in terms of getting into easier comps in that business. But that would be probably – the only sign of stability is just the fact that the numbers get quite a bit smaller in terms of comparatives going forward from a demand – just a pure market demand standpoint, we saw some normal seasonality kind of manifest itself in Q3 in terms of lighting towers, which is typically when we'd see that. The heating season, we've seen better interest in heat this year versus last year, of course. But we're coming off of a warm winter. And to be very frank, that business has been – that product line has been disappointing since we acquired it. It's just the timing of our acquisition was challenging. And that's really what the difficult comp in Q3 was all about, this time around was heat. We delivered a significant amount of heat last year in the third quarter and that didn't repeat this year. So as we get into the fourth quarter, we still have some headwinds that the way our guidance plays out, that we'll have to fight through. But as we get into 2017, we think that that'll abate certainly. But I think the key measurements and the key KPIs that we keep watching there are around rental rates, fleet utilization and then secondary market equipment pricing. All of those metrics are moving, I think, in a favorable direction. But without a meaningful recovery at least in energy prices, it's kind of a wait-and-see game. And you got to wait for these fleets to age. And until they age, it's – the fleet refresh cycle, that replacement cycle is just going to be deferred. And we're seeing – I think at one point, we were hopeful that might happen more likely in the back half of 2017. Frankly, that may play out to be more of a 2018 story depending on where energy prices go here. But we just don't see anything in the short term that gives us a tremendous amount of confidence in any major change there.
Michael Halloran - Robert W. Baird: Yeah, okay, that's fair. And then back on the activity you've seen over the last couple of months here. Could you try to frame that a little bit from a historical perspective? Obviously, with the new tools you're implementing, that's going to be skewed more favorably for you. But what kind of pull-through do you typically get from this type of outage activity, what kind of tail is it? And at what point do you have a little better sense for how much pull-through you start getting on the standby side?
Aaron P. Jagdfeld - Generac Holdings, Inc.: So what we've said in the past and what we've experienced in the past – and again, the category is only about 15 years old with standby. So there's been a couple of notable points of over-indexed activity and under-indexed activity. So I'll speak to those. But I think our typical response has been – we'd see two to four quarters of follow-on demand in general on an average basis in the home standby category following an elevated period of outages. That was, of course, exacerbated after Sandy. That was really pushed to something more like six quarters to eight quarters. It really was a very strong follow-on. I think a lot of that, Mike, is the fact that when you kind of peel back the onion on an event like Sandy, that region had been impacted serially by a number of events in a short period of time. So there was a strange – you had Hurricane Irene and then you had a Snowtober event which was the snow on the leaves that caused trees to drop and take out power and then you had Sandy. And you had kind of those three things happen in rapid succession over the period of about kind of a year and a half. And this event, Matthew, in the Southeast is kind of a one-time deal in 10 years' time. So I think it would probably fall more along the lines of our two to four quarter statement. Just putting it in context, when you compare it to those other events that I just mentioned; in terms of our – kind of the way we look at power outages, right, and we've talked about this proprietary severity index which is a – it's really a mathematical formula of not only the number of people impacted by an outage but the amount of time, the duration of their outage, which we think is an important driver of demand. And so when you look at that kind of amalgamation, that severity index; this event would not rise to any of the last three events that I just mentioned. So it's still below that. And that's why in our estimation, it's really not a major event. It will drive increased awareness and it's certainly helpful in an area of the country where we haven't seen a lot of outages for a longer period of time. And there were millions of people that were without power. So that is certainly going to help us. And as we mentioned, I think the first wave here was portable gens as we've called out. But I think two to four quarters is probably the safe bet. And we'll get better visibility on that as the fourth quarter plays out here in terms of some of our efforts, shorter term and kind of how the distribution kind of is accepting of those efforts, and of course how the end market is accepting of the product category as the kind of fourth quarter plays out.
Operator: Thank you. And our next question is from Stanley Elliott with Stifel. Your line is open.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Hey, guys. Good morning and thank you for taking my call. Just a quick question for you on the number of dealers kind of in the impacted area. It didn't sound like many of them had been using your PowerPlay tools. Is that correct? And how quickly would it be to get them ramped up with that to take advantage of the storm?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah, Stanley, that's exactly what my comments were about. We have a good dealer base there. But it's not as what we would refer to as engaged as maybe some other parts of the country, that engagement level as measured by usage of those tools like PowerPlay. So it is a small percentage that are on the PowerPlay system in that region. And so in response to your question, how quickly can we get them to engage and get them signed up on the system; it's a very easy process. It's as easy as them getting an iPad and buying a license for the software. And that's something that can be done in very short order. And that actually is the number one priority of the team. We're deploying a field team. As I mentioned, that team will hit the ground next week in fairly large numbers to engage those 400 dealers in getting them signed up for PowerPlay. Remember that what's really important for those dealers, the messaging there is all of the activity we do in terms of marketing – so the infomercial and all the other lead generation activities that we do; all drive consumers, homeowners to our lead team internally here and that lead team qualifies those leads and then schedules those leads by pushing them out to dealers that are on PowerPlay. So if you're not on PowerPlay as a dealer, you're not going to get those leads. So the alignment that is required there is really important for those dealers to get those leads. So the messaging is a pretty simple one. If you want to see the leads – we're going to spend a lot of money in that area to work on awareness and of the category and through our marketing efforts. And if you want to get the leads in your hands, you've got to be on PowerPlay. So it's a pretty simple message. What we'll do is we're actually going to do a lot of what we refer to as ride-alongs. So we're going to go out with dealers and actually do a lot of handholding to do those first kind of initial kind of couple of IHCs with the system so that they get a feel for it. And then we'll turn it over to them and we'll be onto the next dealer. So we think over the next 60 days, we're going to be able to get a much higher adoption level of PowerPlay in that region of the country.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Perfect. And thankfully, the election is going to be over here in a couple of weeks. But does that impact your ability to -
Aaron P. Jagdfeld - Generac Holdings, Inc.: Thankfully.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Yeah. Does that impact your ability to get favorable advertising rates in some of these markets which are going to be contested states? And how do we think about that? Does it delay the ability to get down and get the message out right on the heels of the storm or does it have to have a little bit of a lull period? How do we think about all that?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah, advertising rates are a little bit more elevated at this time of year in an election cycle than you would see without that, of course. But I think the timing of this, maybe it pushes it a week or so. Really, the event just happened a couple of weeks ago. You have to wait for the power to come back on. We've got to get the dealers engaged and then we've got to get our media plan put together. We've actually started playing some media in that region already. But we'll double-down on that effort after the election passes. We also don't want to get caught up in the noise. Not only the just elevated pricing for the media cost today, but we don't want to get caught up in kind of the noise. People are – I know in our household, anytime there is an election ad that comes on; we're turning the channel. So I don't know. At some point, people are going to get the hint. But it's one of those things that it's just – we'll have to deal with it. It may push this out a week or so. But I don't think it's going to have a material impact on kind of the cadence that we would normally have around post-outage.
Operator: Thank you. And our next question is from Brian Drab with William Blair. Your line is open.
Brian P. Drab - William Blair & Co. LLC: Hey, good morning. I was wondering if you could go through some of the organic revenue growth figures for the quarter. I don't know if you'd be able to give us. For resi, it is up 4% in total and C&I up 1%. But if you give us organic numbers there and then maybe even organic on Domestic and International.
York A. Ragen - Generac Holdings, Inc.: Yes, Brian. It's York. So on the residential side, organically, that's only down slightly. It's a modest decline organically on the residential side. So they did get some contribution from one month of CHP that didn't get annualized. And then Pramac, if you recall, does sell portable generators which we classify a certain amount, not a lot, but a certain amount goes to that residential bucket. So organically, residential's down, call it modestly, organically. And then on C&Is, given that oil and gas decline; they're down about mid-20% range. So that's still weighing on the year-over-year growth rates. And I think Aaron mentioned it earlier in a commentary as we sold a lot of heat in the prior year. And that didn't necessarily repeat given the underutilization of that equipment on the field.
Brian P. Drab - William Blair & Co. LLC: Okay. And then I guess that's then Domestic versus International.
York A. Ragen - Generac Holdings, Inc.: Yeah, I think the key there is – Domestic is where all the residential is. And International is primarily all C&I. And most of that growth year-over-year there, Brian, for International is in fact the Pramac acquisition growth. There is a certain amount, small amount that mobile products year-over-year declines in the European region. So there is some decline there. But the vast majority of that increase in International is going to be acquisition growth.
Brian P. Drab - William Blair & Co. LLC: Okay. Can you just remind me how much of the Domestic segment actually is C&I?
York A. Ragen - Generac Holdings, Inc.: I guess we haven't broken that out.
Brian P. Drab - William Blair & Co. LLC: Okay.
York A. Ragen - Generac Holdings, Inc.: I guess you've got the slice by Domestic and International. And then you got the slice by product class. We haven't necessarily...
Brian P. Drab - William Blair & Co. LLC: Okay.
York A. Ragen - Generac Holdings, Inc.: ...provided the matrix on that.
Brian P. Drab - William Blair & Co. LLC: Okay. And then I was wondering if you could, given the renewal of the share repurchase authorization, just a quick update on capital allocation plan. It's been about a year and a half since the Analyst Day. And is there any change to the amounts that you're expecting for share repurchase versus acquisitions and debt paydown, et cetera?
York A. Ragen - Generac Holdings, Inc.: Yeah, Brian, it's York again. So I guess the discussion of uses of cash and priority capital allocations is really a very – that discussion hasn't changed really since we've gone public. And we've got our stated priorities in terms of how we want to allocate capital. And debt paydown is something that we look at. We have a targeted leverage range of 2 times to 3 times. We're elevated now at 3.9 times. But we know, given where EBITDA has troughed here, we believe that that can return pretty quickly here as end markets recover. So not concerned about that leverage being that elevated. We are cognizant of that leverage and we don't want that to get too much higher. But we believe that that leverage ratio will moderate here as end markets return and get back to that 2 times to 3 times. So then you've got an M&A pipeline. We've demonstrated that we can execute on that M&A pipeline. We still are integrating Pramac here, so we want to be measured there. So then after that pipeline is return of capital to shareholders. And as we've demonstrated that share buybacks at these levels are an attractive use of that cash. And I think that we'll be opportunistic when we execute on that.
Aaron P. Jagdfeld - Generac Holdings, Inc.: And Brian, it gives us the opportunity to be – it gives us an added flexibility to evaluate a wider range of options then when we do have excess capital, as York said, after stepping through the priorities here. And as we mentioned, EBITDA – this would be our trough quarter on EBITDA given our guidance here. So we're optimistic we'll begin to delever that, if nothing more, then through improvements in the EBITDA run rate on an LTM basis. So that doesn't worry us where we're at from a leverage standpoint. But again, the buyback is really just another tool for us.
York A. Ragen - Generac Holdings, Inc.: Yeah. And we do have excess cash flow sweeps that are built into our term loans. So we have to be cognizant of that in our uses of cash as well.
Operator: Our next question is from Jerry Revich with Goldman Sachs. Your line is open.
Jerry Revich - Goldman Sachs & Co.: Hi, good morning.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Good morning, Jerry.
York A. Ragen - Generac Holdings, Inc.: Good morning, Jerry.
Jerry Revich - Goldman Sachs & Co.: Aaron, are you willing to share the numbers with us on how much the in-home consultations are up through October just to help us understand the cadence of how the next couple of quarters might look and just to put the storm impact in context versus the company as a whole?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah. We won't give specific percentages, Jerry. But what I can tell you is just kind of from a just data standpoint – we track this. Obviously, it's an important leading indicator and we've been tracking it over the last three years. And typically, what you'll see is there is a seasonality to this. In years where we haven't had major events in the fall, we actually do still see a nice improvement or have seen in the last few years where we got PowerPlay in place. We've seen a nice improvement in IHCs kind of in the back half of the third quarter as we enter the fourth quarter. And that's – I think the result has been you've seen improvement in our home standby run rates in Q4. Really, and that's the result of the Northeast still kind of coming off of those events, those serial events that happened. As we've called out, the Northeast has actually been pretty soft this year in terms of activation. And so we weren't necessarily seeing that same seasonality play out with IHCs. It was lower, as you would expect, as activations were lower there as well. What we have seen is that's now turned around. We've seen the IHCs pick up materially here again. It's just later than we would have seen it in maybe the last couple of years. And that really is a result of – based on regionally where we're looking at the IHCs, it's really a result of these outage events and the increased awareness. Oddly enough, we actually have seen the Northeast respond as well. So what we oftentimes see is there is a spillover effect. When you get a major event in whatever part of the country you get; the last area that was affected previously, in this case, the Northeast, there is an increase in interest. It becomes topical for people. And so we're going to make sure that we try to capitalize on that as well, that increased awareness there, by shifting some of the media spend into that market where otherwise, we may have otherwise started to curtail that. We're actually going to shovel some dollars into that region because we have seen a pickup in IHCs in that area. So again, I'm not giving you like discreet numbers. But I think just the timing of when we would see IHCs ramp and the nice increase that we have seen is very encouraging for us as a leading indicator to support the fourth quarter guidance that we've given. And again, we're in the middle of the budgetary process for 2017 here and we'll evaluate its impact overall as we kind of work through that process.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you for the context. And then for Pramac, you spoke about the impact of the weak pound on Tower Light. Has that had any impact on Pramac as a whole? And do you expect to recover the lost pricing as a result of the currency move in your businesses or is there is a local competition in the UK that would make that challenging?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah, so the first part of the question. Pramac doesn't have much of a UK presence, just a little bit. It's actually smaller than Tower Light's UK business. So in terms of the currency impact, they're not as material or on a – it's material to Tower Light's business as a business, but it's not incredibly material to our results overall, I guess, would be a way to put it. And certainly with Pramac, it's even smaller because they don't have as big of a footprint there. Unfortunately, we don't believe there's going to be a great opportunity to recover the pricing. These are large national rental customers. Some of those prices are contracted. There is some wiggle room to move pricing. Thankfully, there aren't a large number of local manufacturers in the UK. But that notwithstanding, it is still a competitive environment and we have to respond to that as such. So unfortunately, we don't think – we certainly aren't going to recover all of that in pricing. There may be a little bit of that. Where we're really going to get the opportunity to try and work on improving margins in the UK is through consolidation of operations. We have an operation in the UK for Pramac and we have an operation in the UK for Tower Light. We're currently in the investigative stage of consolidation of those operating footprints so that we can try and reduce our overall cost structure in the UK. But again, I think our bigger issue, our bigger challenge is really on the pricing side and that probably is not something that we see resolving itself very easily.
York A. Ragen - Generac Holdings, Inc.: And it's reflected in our guidance.
Aaron P. Jagdfeld - Generac Holdings, Inc.: And it's reflected in our guidance appropriately in that fashion.
Operator: And our next question is from Ross Gilardi with Bank of America Merrill Lynch. Your line is open.
Ross P. Gilardi - Bank of America Merrill Lynch: Hello, good morning. Thanks, guys.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Good morning, Ross.
York A. Ragen - Generac Holdings, Inc.: Good morning.
Ross P. Gilardi - Bank of America Merrill Lynch: Hey, I just wanted to ask you about telecom, like how that's trending like up or down year-on-year. I don't think you mentioned it in your formal remarks. And how do you think this AT&T-Time Warner thing impacts that business. I know like over the last couple of years when the DirecTV acquisition was pending, it seemed like you felt that that had a softening impact on the market. And I'm wondering if that – obviously, this is going to be a long drawn out process, but if that weighs on capital spending in that market?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah. I think, obviously, it's a great question, Ross. And we watch that market very closely. It's been an important market overall for us as a vertical in C&I. And we've been a longstanding supplier to that market. We had more encouraging conversations earlier in the year. But those conversations – I think as M&A activity for many of our major channel partners there has increased with Verizon, it's Yahoo; with AT&T, it's been DirecTV and now the Time Warner deal. And just historically for us, anytime we see those channel partners use their capital for M&A; it tends to come – at least in our markets, it tends to manifest itself in kind of muted demand for telecom. And that is really what we've reflected in our guidance here. We really haven't reflected any material uptick in it. We were kind of already seeing that. And I think the AT&T announcement with Time Warner only kind of doubles-down on that. I think what is a little more interesting to me is just maybe the signal all of those deals are sending in terms of just the network infrastructure spend by any of the wireless companies. I just find it interesting that since the net neutrality rules have come into play here, that – I guess is there a broader macro theme here of deemphasizing the investment in the networks and the investment in hard assets as I guess in reality, you're basically building a highway for somebody else to drive a car on. And does that give their shareholders the best return? I thought it was interesting Google Fiber kind of made their announcement yesterday or this morning kind of pulling back. And I think they found it a lot more costly to go into the markets and to do what they wanted to do. But is that also somewhat tied to net neutrality? They didn't call it that. But you just wonder where is the investment in hard assets for the pipe for all these things, whether it be wireless or whether it be fiber, where is that going longer term in terms of investment. So we'll continue to watch it. I think the good news is there is a lot of sites out there that still don't have backup power. So the opportunity set for us is pretty large. And power quality continues to degrade and that's something that we'll keep an eye on the market. But you do see some kind of signs on the horizon here with the M&A activity and some of the other kind of macro themes here. It makes one pause in terms of what that may mean for kind of capital spending by these types of customers today and into the near term.
Ross P. Gilardi - Bank of America Merrill Lynch: Got it. Thanks, Aaron. And then just lastly, I wanted to ask you about the big-box retailers. You mentioned that your product placements, I think, at all-time highs with the retailers. But just wondering how sell-through has been, retail sell-through, aside from like the increased power outage activity. It just seems like some of the vendors to the big-box retailers are reporting softer numbers over the last couple of days in different categories than yours. But have you seen that at all generally outside of the weather-impacted areas or has it just been pretty steady state?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah. To be honest, we haven't really talked too much about sell-through. We see sell-through activity from our channel partners. And I can tell you there's nothing I've seen in the last several weeks – now I haven't looked at it in the last couple of days, which I think was your reference point. But in the last several weeks, the sell-through activity is as we would expect. In the regions that were impacted by the outages, that was elevated certainly during the outages and immediately thereafter. And we haven't seen anything there that would lead us to a different conclusion about kind of either our feelings about the impact. Remember, as important of a channel as retail is – and it is an important channel, great partners and we've had longstanding relationships there – our dealer channel is really the channel that, for home standby anyway, because this is a home improvement project. It's an installed product. It's a considered sale, highly considered sale, highly researched sale, a big ticket item. The dealer channel is the larger channel there and over the last decade has grown faster than retailers. The retailers still serve a really important part though of the awareness around these product categories. A lot of times people will see the product for the first time at a retail shelf. And they may start to get interested in the category through that interaction. So our point of purchase displays are really important. And obviously, the training and other things that we do with those retailers is really critical. But to be frank, the dealer channel – most people want a turnkey solution and some of our retailers are already paired up with our dealer channel. We have retail install programs that have been successful. In those programs, we've seen nice improvement of those numbers over the last several weeks as you would expect in the regions that were impacted. But we haven't seen anything – and I can't speak to anything in the last few days to be honest, Ross. But we'll continue to keep an eye on kind of sell-through and understand how that might impact the business going forward.
Operator: And your next question is from Christopher Glynn with Oppenheimer. Your line is open.
Christopher Glynn - Oppenheimer & Co., Inc. (Broker): Thanks. Good morning.
York A. Ragen - Generac Holdings, Inc.: Good morning, Chris.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Good morning, Chris.
Christopher Glynn - Oppenheimer & Co., Inc. (Broker): Hey. So on the comments about the modest increase in outages; obviously, the hurricane was in October. But is that a dynamic where there's no individual call-out, it's more of just a little bit of a wave through the various geographies?
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah. And part of it – we've run some campaigns, some pretty effective promotional campaigns coupled with the outage events, in our estimation, have been very successful. And it's one of the reasons why the outperformance in Q3 certainly, as we kind of got to the back half of September, even before kind of Matthew. But we've seen an event like Matthew being an overall awareness event. We've also seen some localized outages up in the Northwest coming off of some of the storms that have been hitting the Northwest Territory here over the last couple of weeks. All of those things are driving to improve, I think, the overall IHC environment, the in-home consultation environment as we've called out. A lot of our leading indicators are pointing, what we believe, in a very good direction. And I'd also say inventory levels have played a part. We talked about field inventory. As we entered the third quarter, field inventory was a little bit elevated. And so there was a bit of a destocking that occurred during the third quarter. And in spite of that, we outperformed our expectations, a lot of that again the promotions coupled with kind of the elevated outage event. But as we entered the fourth quarter, we look at kind of inventory levels today in the field as being very much in line year-over-year. And I think that's an important point to make because we don't anticipate and our guidance doesn't contemplate any kind of restocking or destocking events that need to take place in any measurable way certainly in the fourth quarter. So I think that that is an important part of the guide as we go from Q3 to Q4.
Christopher Glynn - Oppenheimer & Co., Inc. (Broker): Okay. And then regarding the fourth quarter revenue lift and sort of allocating that; obviously, we could take the segment guidance and triangulate. But I just wanted to take a little different angle. The midpoint of your full-year guidance puts roughly a $40 million higher fourth quarter than the third. Just wanted to ask about the components of that. Is that pretty much all standby or is there some little bit of seasonality and C&I contributing to that?
York A. Ragen - Generac Holdings, Inc.: Going from Q3 to Q4 is the question, Chris? That's your question?
Christopher Glynn - Oppenheimer & Co., Inc. (Broker): Yeah, and the midpoint has it, call it, $40 million higher than the third quarter.
York A. Ragen - Generac Holdings, Inc.: Yeah, it's predominantly that resi volume and I think the outage activity, the concept that Aaron just talked about in terms of not having the field inventory, being more balanced coming into the Q4. So most of that $40 million that you're talking about is going to be on the resi side.
Operator: Thank you. And our next question is from John Quealy with Canaccord. Your line is open.
John Salvatore Quealy - Canaccord Genuity, Inc.: Yeah. Hey, good morning, guys. Thanks for squeezing me in. So big picture. I know I talked about this, I don't know, a while ago. Aaron, your thoughts on battery storage. Tesla not really doing much, as it seems, with Powerwall. LG Chem announced some stuff in the Gulf Coast. Talk about that and if cost still is an issue. But would you guys think about it if it got commercial traction and the economics were there? Thanks, guys.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Yeah, thanks, John. And obviously, I think what's really important in battery storage – and you've seen I think the Tesla Powerwall. I think they pulled the product down that they had put out there as a backup solution. I think it's an interesting storage device for people who have alternative power sources at the home or business, solar being the primary there. Having an intermittent storage device to work on the rate arbitrages that exist during the middle of the day or the peak times during the day is important. But as a backup, as a purely backup solution, you don't know how long an outage is going to occur. And that's really what – our product is fundamentally different. We serve a different market there. And I think a couple of things would have to happen. Certainly, the economics of batteries would have to improve dramatically. But the amount of storage that you'd need – again, Hurricane Matthew is a great example. There were people down in Hurricane Matthew – in the impacted zones that were out of power for four days. There's no battery today on the market – you'd have to have a lot of batteries to get you past four days. So to spend that kind of money on a solution just doesn't make sense. So let's fast forward, John, and assume for a second that the economics become workable at some point in the future. If they did, I think what's really important – and I try to stress this with not only external constituents but internally here at the company. What we do with a home standby generator – I'd love to tell you that there's a ton of proprietary technology there. I think what we do on a scale basis is unique. And I think what we do in certain elements of the product is unique. But to be honest, the product itself, the technology itself, a reciprocating engine driving a set of copper windings has been around for a long, long time. It's kind of Physics 101. It's been around 80 years. And I think we've done some unique things with it. But I think what's really important is the system that we built to create awareness and the system we built to sell it and promote it and market it and install it and service it. That entire investment over the last 15 years, the network that we built, that 5,400 dealers we called out when we're back at our high point for distribution post-Sandy, which is amazing to me just sitting here that we've got that many engaged partners that are interested in the category in spite of being in kind of a down power outage environment. So what's inside the box, whether it's an internal combustion engine or whether it's a set of batteries; we can commercially go out and buy batteries on the open market. And if batteries tomorrow, if technology shifts and the economics make sense; that's what we would do. Again, there is really nothing proprietary there. But all the things we do around it, that's what's really valuable to us. And I think that's what's really hard to replicate when it comes to just the amount of time and the amount of money that we put into that.
Operator: Thank you. And I'm not showing any further questions. So I'll now turn the call back over to Aaron Jagdfeld, President and CEO, for closing remarks.
Aaron P. Jagdfeld - Generac Holdings, Inc.: Great. We want to thank everybody for joining us this morning. We look forward to our fourth quarter and full-year 2016 earnings release which we anticipate will be sometime in mid-February of 2017. With that, we'll bid you a good day. Thank you.
Operator: Ladies and gentlemen, this does conclude the program and you may now disconnect. Everyone, have a great day.